Operator: Good day, ladies and gentlemen, and welcome to the Q1 2011 Abiomed earnings conference call. My name is Steve and I will be your operator for today. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of today’s conference. (Operator instructions) As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to your host for today, Ms. Aimee Maillett. Please proceed, ma’am.
Aimee Maillett: Good morning and welcome to Abiomed's first quarter of fiscal 2011 earnings conference call. This is Aimee Maillett of Abiomed’s Corporate Communications Department. I’m here with Mike Minogue, Abiomed’s Chairman, President and Chief Executive Officer; and Bob Bowen, Vice President and Chief Financial Officer. The format for today’s call will be as follows. First, Mike will provide you with strategic highlights of the first quarter. Next, Bob will provide details on the financial results outlined in today's press release. And we will then open up the call for your questions. Before we begin discussing the first quarter, it is necessary to remind you that during the course of this call, we will be making forward-looking statements, including statements regarding future financial performance, product development efforts, Abiomed's strategic operational initiatives, market response to our new products, our progress towards commercial growth, and future opportunities. Abiomed's actual results may differ materially from those anticipated in these forward-looking statements based upon a number of factors, including uncertainties associated with development, testing and related regulatory approvals, competition, technological changes, anticipated future losses, complex manufacturing, high-quality requirements, dependence on limited sources of supply, government regulation, future capital needs, and other risks detailed in our SEC filings. Investors are cautioned not to place undue reliance on any forward-looking statements, which speak only as of the date of today's conference call. The company undertakes no obligation to publicly release the results of any revisions to these forward-looking statements that may be made to reflect events or circumstances that occur after the date of this conference call or to reflect the occurrence of unanticipated events. Lastly, comparative references made financially in this call to revenue, expenses, gross margin, or other increases or decreases will be indicated by references to first quarter of fiscal 2011 as compared to the first quarter of fiscal 2010 or first quarter of fiscal 2011 as compared to the prior fourth quarter of fiscal 2010. I am now pleased to introduce Mike Minogue, Abiomed Chairman, President and Chief Executive Officer.
Mike Minogue: Thank you, Aimee. Good morning, everyone. Q1 was highlighted by continued growth of the Impella commercial platform, strong enrollment in the Protect II trial, and positive operational performance. Our strategy is moving forward as we go deeper into existing US Impella sites, training users to independence and expanding applications while amassing an extensive body of clinical evidence for hemodynamic support and heart muscle recovery. Worldwide Impella revenue totaled $16.6 million, up 38% over the prior year, including total US commercial Impella revenues of $15.5 million, up 48%. And 88% of US commercial revenues were from Impella reorders totaling $13.7 million, up 114%. We maintained our strategy to open fewer Impella 2.5 new sites in Q1, resulting in 24 sites versus 47 from the prior year. Total company revenue, including the non-Impella business, was $22 million, up 11% compared to last year. On today’s call, we will highlight year-over-year progress on three of our four corporate fiscal year 2011 goals. So first on goal number one of increasing Impella utilization through expanding users, applications and independent usage. In Q1, we supported 595 Impella patients, up 74% year-over-year plus 49 Protect II patients. All of the usage trends increased, including high risk PCI by 69%, AMI by 146%, and EP by 700%. Sequentially over Q4, total commercial utilization increased by 9%, not including the P-II patients. Approximately half of the 437 US Impella hospitals have supported five or more Impella patients, and we believe this qualifies them for independent usage. Last year, only 61 sites met this criteria compared to 206 in Q1. And last, approximately one in four of Impella implantations were done independently in Q1 as compared to one in ten last year. Based on the growing independent usage, it is likely we are not able to count every patient. Our second goal of advancing the education of the science and the benefits of heart muscle recovery made progress. We supported six major shows, sponsored 15 training events, and conducted face-to-face training for a week with our entire field team. At PCR in Europe, the second largest interventional cardiology show, leading physicians presented direct results of the US registry called USpella on 251 patients and taught the physiology and benefits of unloading the heart with Impella. These presentations are currently on the PCR website. The USpella registry incorporates an extremely sick patient population with more than half of the PCI patients being turned down for surgery. These data revealed very low adverse event rates for high-risk PCI. For Impella-supported PCI treatment effects, on average patients displayed an increase of 16% in their rejection fraction, which translates to a 29% relative reduction in ICD requirements. Additionally, 62% of the New York Heart Association Class IV patients improved their classification by at least one level, 62%. This is important because New York Heart Association Class IV patients have the poorest condition and are unable to carry out any physical activity without discomfort and suffer from symptoms of cardiac insufficiency at rest. In simple terms, these are patients in a hospital bed with limited options. We believe that Impella’s support during PCI for high-risk patients provides the best opportunity to perform a safe, minimally invasive and complete revascularization. From a hospital charge perspective, PCI on average costs $48,000 as compared to surgery at $100,000 and avoiding an ICD saves an additional $105,000 hospital charge. Pertaining to acute myocardial infarction, or AMI, cardiogenic shock patients in USpella, approximately 85% of these patients were failing conventional therapies, including the intra-aortic balloon. Upon transition to Impella 2.5, these patients exhibited a significant increase of 120% in cardiac power output, or CPO. CPO is the product of flow and pressure and represents the work of the heart and pump together. CPO has proven to be the number one correlate to mortality for AMI cardiogenic shock patients, as published by Fink [ph] in the short trial and Jack in 2004, and more recently by Torgersen in critical care in 2009. This 120% increase in CPO from 0.5 watts on the intra-aortic balloon to 1.1 watts on the Impella is estimated to reduce the risk of in-hospital mortality from 60% to 30% based on the Fink study. The shock trial study is the foundation for the AHA/ACC guidelines on AMI. To summarize the registry data, Impella provides better hemodynamic support compared to the intra-aortic balloon and is not dependent on dangerous inotropic drugs or perfect timing of the heart. Again, from a hospital charge perspective, recovering heart muscle and discharging heart attack patients with their native heart potentially saves over $500,000 in the short-term and over $1.5 million in the long-term. On publications, there were seven papers or abstracts in Q1 on our technology. Many new papers are pending. And at TCT in September, we will provide another update to the USpella targeting 350 patients at hospitals collecting data under IRB. And last, on our fourth goal of driving operational excellent and product quality and customer satisfaction, we executed. Gross margin for the quarter were 76% while cash burn was the result from our yearly employees incentive plan. Additionally, our dedicated resources in our Protect II trial yielded our second best enrollment quarter-to-date. On the manufacturing side, we have significantly ramped up our production capability while improving our yields to our record best for the quarter. And last, we engineered and manufactured our Impella RP, our percutaneous right side device, and expect to support our patient this quarter. In summary, our mission is to provide breakthrough heart support technologies for high-risk patients in order to enable safer revascularization, heart muscle recovery, and cost-effective patient care. We define heart muscle recovery as an improvement of the heart muscle function that enables the patient to sustain quality of life at home. The more we train our users and publish our results, the more confident we become that Impella will revolutionize hemodynamic support for high-risk patients on multiple applications in the cath lab, EP lab and surgery suite. This is why we are the exclusive heart muscle recovery company and are excited for the TCT conference in September. I will now turn the call over to Bob Bowen.
Bob Bowen: Thanks Mike. Good morning, everyone. Before I get started, I would like to refer you to the Safe Harbor language noted at the outset of the call as well as the risks and uncertainties noted in our SEC filings, particularly our most recently filed 10-K. I would also like to bring your attention to the GAAP, non-GAAP reconciliation that we provided in the earnings press release, which is intended to aid investor understanding of our financial results. Mike has pretty much covered many of the revenue highlights. So I am going to briefly focus on providing a little more detail on the P&L and balance sheet. Gross margin percent for the quarter was 76% compared to 74.5% in the year-ago period, representing a 150 basis point improvement due to a higher mix of Impella disposables and fewer console placements. Our strategy for the past two quarters has been one of going deeper at existing sites, and this has yielded increased independent usage. In Q1 fiscal ’11, in the US, we opened 24 new Impella 2.5 sites compared to 47 new sites in the prior year, and as a result, placed fewer consoles and had approximately half the initial stocking order revenue. R&D expenses of $6.7 million compared to $6.0 million in the prior year. Our R&D expenses are largely focused on continued development of the Impella platform, the Protect II clinical trial, the USpella registry, and other clinical study efforts. The year-over-year R&D expense increase was primarily due to higher Impella-related clinical trial expenses, which were $2.5 million in the most recent quarter and $1.5 million in the year-ago period. In Q1 fiscal ’11, 49 patients were enrolled in the Protect II study compared to 37 in the prior year and 27 in the prior sequential quarter. Our strategy to reduce the number of Protect II participating sites combined with the dedicated resources assigned to the trial yielded an increasing enrollment in the most recent quarter and may have had an unfavorable effect on revenues compared to prior periods. Some of these Protect II patients were randomized to the IAB and others might have been commercial Impella patients. Selling, general and administrative costs of $15.7 million included $0.8 million accrual for the estimated cost to exit the lease of our Athlone, Ireland facility. Excluding this accrual, SG&A costs of $14.9 million in Q1 fiscal ’11 compared to $16 million in the prior year. SG&A expense was lower in Europe, reflecting our core commercial focus on the US market opportunity. In Europe, our strategy has been to scale back and focus on targeted direct accounts, largely in Germany, France and the Netherlands for clinical studies and first-in-man experience. Additionally, we have reduced the number of distributor markets. As a result of these restructuring activities, legacy product revenues were lower. In other income we recorded a gain of $239,000 from the sale of an additional 100,000 shares of World Heart stock. To date, we have realized proceeds of $6.9 million on our original $5 million investment in World Heart. The GAAP net loss for Q1 fiscal ’11 was $6 million or $0.16 per share compared to last year’s GAAP net loss of $7.8 million or $0.21 per share. The non-GAAP net loss for Q1 fiscal ’11 as defined in our press release was $3.7 million or $0.10 per share compared to a non-GAAP net loss in the prior year of $5.9 million or a loss of $0.16 per share. Turning to the balance sheet, we continue to do a very effective job managing our inventory and accounts receivable balances. Inventory as a percent of quarterly revenue was 34% this quarter compared to 74% in the prior year. And accounts receivable as a percent of quarterly revenue was 57% compared to 73% in the prior year. We ended fiscal Q1 with cash, cash equivalents and short-term marketable securities of $54.9 million compared to $58.3 million at March 31. The change represented a usage of $3.4 million, which was largely due to $3.6 million of annual incentive compensation payments made to nearly all employees, partially offset by $0.2 million of proceeds from the sale of World Heart stock. All other business activities were essentially cash neutral. Overall, in Q1 fiscal ’11, we were at the top end of our total year revenue growth plans of approximately 9% to 11% provided on the Q4 earnings conference call. Worldwide Impella revenues were up 38% and exceeded the 25% to 30% annual growth rate we guided to on the last conference call, while the 1Q debt in non-Impella revenues slightly exceeded the 25% to 30% debt we had anticipated. We expect a seasonal summer slowdown in our fiscal Q2, and combined with TCT in September, we expect to see flat to lower sequential revenues in fiscal Q2, but growth on a year-over-year basis. We anticipate a strong post-TCT second half and we are reaffirming our total year revenue guidance provided on the last call of revenues in the range of $93 million to $95 million. In summary, the business is very well positioned for a solid year, with a strong cash balance, growing patient utilization with US Impella reorders up 114% in Q1, high gross profit rates, a disciplined operating expense style, expanding applications in a growing body of clinical evidence of the benefits of hemodynamic support. We will now open the call to questions.
Operator: (Operator instructions) And your first question comes from the line of Tim Lee with Piper Jaffray.
Tim Lee – Piper Jaffray: Hi, guys, good morning and thanks for taking the question. Just in terms of your comments on growing utilization, could you give us just some hard quantitative numbers in terms of what you are seeing in terms of center utilization, either new centers on a sequential basis or any type of parameters – any hard parameters you can provide on that?
Mike Minogue: Tim, this is Mike. We gave the percentage increase specifically to the different types of applications. So obviously the number is growing overall. We are seeing a further increase in more of the emergency use like AMI. We are also seeing the EP application starting to grow. From a perspective of a profile of the users, our top users are doing 10 to 12 patients per quarter.
Tim Lee – Piper Jaffray: Okay. And in terms of the less active users, I mean, are they going up in utilization? Again, just any type of – are you going from one a month to three a month, or any type of – because at least how we are calculating the utilization rates, we’re seeing kind of flat sequential number as I’m trying to figure out what – at least from our calculation standpoint what we are missing.
Mike Minogue: If you do the analysis and you look at total patients per quarter times total sites, and the way we’ve looked at it is the number of sites at the start of the quarter. It is increasing. So for the last four quarters, it was 1.22, 1.3, 1.39, and in Q1 it was 1.44. So even on those specific objectives, they are all increasing. And it really comes down to data and training. And we’re confident that both are moving forward. And in very simple terms, the more they use, the more they use. So they started prophylactic use. They spent to emergency. We’re starting to see EP physicians get involved. We’re starting to see some AMI type of applications. And we’re continuing to see other usage that we continue to publish.
Tim Lee – Piper Jaffray: Got it. Very helpful. Thank you. Then in terms of the Protect II, you’ve got a strong uptick here in terms of the enrollment rate. Was that isolated in a handful of centers or did you see just a broad increase? Just any qualitative comments there would be appreciated.
Mike Minogue: Sure. On the Protect II, to kind of summarize the progress, it’s more dedicated Abiomed people with less trial sites. So we’ve reached a maximum of 110 sites, and we have scaled back now to 45 sites, and it’s across the board. Those 45 sites are rolling more patients.
Tim Lee – Piper Jaffray: Got it. Thank you very much. I’ll get back in queue.
Mike Minogue: We do expect to maintain our prior forecast of 30 to 40 patients per quarter. This summer does have a slowdown, but we still expect to be within that 30 to 40 range this summer for Protect II enrollment.
Tim Lee – Piper Jaffray: Thank you.
Operator: And your next question comes from the line of Duane Nash with Wedbush Securities.
Akiva Felton – Wedbush Securities: Hi, good morning. This is Akiva Felton [ph] for Duane. Regarding the Protect II enrollment, maybe Bob, could you explain a little bit more on how the increased enrollment in Protect II could have a negative impact on revenues?
Bob Bowen: Well, about half of the patients are randomized to the balloon. So they are not using the Impella as part of the trial protocol. And then the folks that use the trial catheters, it is a trial catheter as opposed to a commercial catheter. And the commercial reorders tend to happen more rapidly than the trial reorders.
Akiva Felton – Wedbush Securities: Okay. So –
Mike Minogue: And it’s not included in the commercial Impella revenue.
Akiva Felton – Wedbush Securities: So, should we think that half the patients enrolled – assuming the randomization to one-to-one would have received Impella instead of a balloon pump?
Mike Minogue: I think it is half are randomized to a balloon pump and the other half are not counted in our commercial revenue. So on the numbers that we talk about for US commercial Impella revenue does not include the P-II revenue. You would only see that difference in when you look at the worldwide Impella revenues.
Akiva Felton – Wedbush Securities: Okay, that’s helpful. Thanks.
Operator: And our next question comes from the line of Josh Jennings with Jefferies & Company.
Josh Jennings – Jefferies & Company: Hi, good morning, gentlemen. Thanks for taking the questions. I guess first, just in terms of the right sided Impella that you guys have now manufactured, I’m wondering if you can just – it seems like an exciting opportunity, growth opportunity especially. And can you just sort of outline – I know you went over this on the Investor Day, but can you just sort of outline your path to commercialization and the market opportunity there?
Mike Minogue: Sure, Josh. On the Impella RP, it’s percutaneous right-side device, it will be inserted through the venous approach and it will pump up to around four liters per minute. The idea for the commercial is to collect patient data outside the United States for patients that are suffering from right-side failure or from acute on chronic right-side failure or failed transplant or right-side failure post-implantation of a left ventricular assist device. If you go out and hold interventional cardiologists, heart failure cardiologists and heart surgeons, you will hear lots of excitement in demand for a subset of the patients that they treat. And then within the United States, we will pursue the most efficient path to receive approval for US support.
Josh Jennings – Jefferies & Company: Any timelines in terms of official commercialization of the right side Impella, the Impella RP –?
Mike Minogue: Not at this time.
Josh Jennings – Jefferies & Company: Okay.
Mike Minogue: Not at this time.
Josh Jennings – Jefferies & Company: All right. And just in terms of your independent usage metric, it looks like you had a nice ramp year-over-year after your volume has been on the independent side, another important metric. Can you just talk about sort of your expectations for that ramp for the back half of the year? Are you expecting to continue to have that independent usage sort of escalating to the level that it has over the past three quarters?
Mike Minogue: Sure. So Josh, we gave two stats. The first stat is about half of our centers have done more than five patients, which we consider them now independent capable. So that’s a criteria going from 61 to 206. We also have actually reported one in four, 25% of the implantations were done independently. Meaning, our people were not there. The difference between those two is, in some cases, we will be there because the resources are there. We want to be there to train another doctor or another tech. We now have our support people that will potentially stay in the control room while they put in the device to make sure that they are independent and certified, and those today are still being counted as supported cases. And over time, we expect essentially all the users to be able to insert Impella independently. And with the changes to the quick setup kit going from 11 minutes to a 2.5-minute setup time, it’s really changed the kind of their frame of mind for these users. And I believe all of them know that independent is just a matter of doing a couple patients.
Josh Jennings – Jefferies & Company: Great. And I know your strategic initiative to sort of scale back on the international side and just looking at publishing clinical data in those select accounts. But can you just outline any pent-up demand in Europe with the Europella and USpella registry? I mean, is there – in terms of your accounts and in terms of pent-up demand, is that developing in Europe and how do you sort of foresee international expansion coming? Is that sort of a two-year process or when do you start investing in Europe?
Mike Minogue: As we look at the mission in Europe, it’s a dedication to selected sites that are involved in publications or first-in-man studies. So currently in Europe, at selective sites, we have studies going on for AMI; we have studies going on for acute on chronic heart failure; we have studies going on for the right side device; and we have studies pending for other types of technologies and applications. From our perspective as a company focus, it’s really about the United States currently. And I believe the more that we get with the registry, the more evidence we will have for Europe to your point. The challenge we have in Europe is that we don’t have reimbursement in most of the countries, which makes it very challenging. And we see the next big market for us to really be the Japanese market where there has been expressed interest to bring Impella to help us. Specifically, the heart attack patients recover heart muscle because they have very limited options with really not having a transplant program and a smaller size not being really a great option for implantable (inaudible).
Josh Jennings – Jefferies & Company: Just in terms of the reimbursement environment internationally or in US specifically, what’s going to sort of get you guys there in terms of having positive reimbursement decision? Is that from a path that you’re holding off on and you sort of get more clinical data and grow the US market?
Mike Minogue: I think that we are holding off. The path isn’t expansive. It’s just a time-based effort where you have to go in and go through the process and go through each government agency. And at this point, we are more focused on the clinical studies, the US market, and the future Japan.
Josh Jennings – Jefferies & Company: Great. And just last question, in terms of Protect II, any update on the interim analysis in terms of timelines, when that will be done or whether it is done or not? Thanks a lot, guys.
Mike Minogue: Sure. So the last call we mentioned that we think the interim process will get collected and completed in the September timeframe. It’s probably going to be more likely in the October timeframe. And again, our assumption is that we will continue to move forward on the study as most trials are due after an interim look, and we’ve always reserved the right if we wanted to increase the size of the study by a little bit. That will be up to us. But there is no changes in the process and no changes in our position of the interim.
Operator: (Operator instructions) And your next question comes from the line of David Lewis with Morgan Stanley.
David Lewis – Morgan Stanley: Hello, good morning.
Mike Minogue: Good morning, David.
David Lewis – Morgan Stanley: Just a couple quick financial questions. Just given the utilization and manufacturing improvements in the quarter, I wonder if you could just kind of give us a sense of relative gross margins between Impella and the core business. And if you don’t have that, just give us a sense of, given the varying trends obviously in these two segments, where the operating contribution currently sits with Impella and the core business. And I’m most interested in whether the core business is profitable or not profitable.
Bob Bowen: Okay, David. I think to get to your last piece of your question first, we haven’t done a detailed analysis. But my sense is that the non-Impella business is profitable because we just don’t have a lot of resources assigned to it. Most of the resources are dedicated to the Impella side of the house. And so even though the non-Impella business is smaller than it had been, I still think it provides a positive contribution. And on the gross margin side, the non-Impella products have high gross margins in disposables. All the disposables have fairly high gross margins. And the increase in our gross margin range, I think, was more attributable to the absence of console placements than to the variance in gross profit rates between the non-Impella and the Impella disposables.
David Lewis – Morgan Stanley: Okay, helpful. And then, Mike, just thinking about the business, I mean, at the Analyst Day, and very consistently the company has talked about the Impella opportunity as a $2 billion opportunity. If you think about revenue a quarter and annualize that, I guess sort of 2% to 3% market share from the perspective of just Impella disposables. But then we think about your market share in large cath labs in the US, and it’s actually dramatically higher virtually in every large center in the US. So I’m trying to understand how do you work to close that gap. Is it simply more reps? And do you think the existing kind of clinical data in the environment right now is enough to support a larger penetration in 2% to 3%? And is it disconnects in the market or physicians don’t understand? Let me help me understand kind of those two dynamics between high penetration in the labs and low penetration on the utilization.
Mike Minogue: Sure, David. So first of all, we have kind of a hybrid launch that we discussed at the Investor Day is, we have a 510(k) and we are tracking at or above the trends of 510(k) revenue growth. But it’s not a PMA, which puts the clinical information before and then you see more of that hockey stick ramp. And with the 510(k), you’re really going through the data as the product is out there. So, as of today, I believe we have an extensive amount of clinical data, more so than majority of 510(k)s. And we also believe that we have the ability to getting guidelines with kind of a soft recommendation with a Level B or Level C evidence. And so that’s the process. We’re going to continue to publish more data. So this is really a training in data story. And when you start talking about penetrating the labs, we’re still talking about two going to four physicians rather than 10-plus. An intra-aortic balloon pumps are in essentially all of the heart centers and then most of all the cath lab-only hospitals, whereas we are in 38% of the heart hospitals. And I think what folks might be missing is that if we can convert just 20% of the intra-aortic balloon market in the US alone, this is over $400 million in revenues, with very strong gross margin and with a reorder annuity style revenue stream. So that’s what our focus is, and I agree with you that we do need some more data. And that’s why we are doing the studies and outlined at the Investor Day three to four new studies, everything from AMI to acute or chronic to EP.
David Lewis – Morgan Stanley: And Mike, is it safe to assume that between now and obviously pivotal PMA data, the most important driver of revenue re-acceleration of the current revenue rate is going to be tied to reps – increased repos?
Mike Minogue: Well, I think we have a foundation right now for our reps. And we also see that there is a bit of a learning curve. So we do have a lot of new reps. We also see, as the trend of independence grows, that that helps free-up some of the resources we have in the field today. And we’ve consistently said that we are going to add two to four people per quarter in the field, and we have the ability to ramp that up as time permits. From a perspective of the size of the distribution, I think that right now, it still comes back to training and data. And we are going to continue to focus on those with the existing resources we have. But if you think about the ability to capture the wealth creation of a new standard of care, there is no other technology like Impella and there is nothing on the horizon. So we are not going to limit our investment in the distribution should we see that we need more people.
David Lewis – Morgan Stanley: Okay. Thank you very much.
Operator: And you have a follow-up question from the line of Tim Lee with Piper Jaffray.
Tim Lee – Piper Jaffray: Hi. Thanks for taking the follow-up. Just on the clinical side, any update on either mini-one [ph] or IMPRESS just in terms of where we stand in terms of getting patients or getting mini-one up and running?
Mike Minogue: Both are in process. There is no additional update from the last investor meeting.
Tim Lee – Piper Jaffray: Okay. Thank you.
Operator: And that conclude the Q&A portion of today’s presentation. I’ll now like to turn the call back over to Abiomed’s CEO, Mike Minogue.
Mike Minogue: Well, thank you, everyone, for your time today. And I hope to see many of you at TCT. We will have morning sessions every day, Thursday, Friday and Saturday, as well as presentations as part of the program with the potential for several live cases. Have a good day.